Operator: Good day, everyone and thank you for standing by. Welcome to today's Cheniere Energy, Inc. Third Quarter 2020 Earnings Call and Webcast. A quick reminder that today's program is being recorded. And at this time, I'd like to turn the floor over to Randy Bhatia, Vice President of Investor Relations. Please go ahead, sir.
Randy Bhatia: Thank you, operator. Good morning, everyone, and welcome to Cheniere's third quarter 2020 earnings conference call. The slide presentation and access to the webcast for today's call are available at cheniere.com. Joining me this morning are Jack Fusco, Cheniere's President and CEO; Anatol Feygin, Executive Vice President and Chief Commercial Officer; and Zach Davis, Senior Vice President and CFO. Before we begin, I would like to remind all listeners that our remarks, including answers to your questions, may contain forward-looking statements, and actual results could differ materially from what is described in these statements. Slide 2 of our presentation contains a discussion of those forward-looking statements and associated risks. In addition, we may include references to certain non-GAAP financial measures, such as consolidated adjusted EBITDA and distributable cash flow. A reconciliation of these measures to the most comparable GAAP financial measure can be found in the appendix to the slide presentation. As part of our discussion of Cheniere's results, today's call may also include selected financial information and results for Cheniere Energy Partners LP, or CQP. We do not intend to cover CQP's results separately from those of Cheniere Energy, Inc. The call agenda is shown on Slide 3. Jack will begin with operating and financial highlights, Anatol will then provide an update on the LNG market, and Zach will review our financial results and guidance. After the prepared remarks, we will open the call for Q&A. I'll now turn the call over to Jack Fusco, Cheniere's President and CEO.
Jack Fusco: Thank you, Randy, and good morning, everyone, and thank you for your continued support to Cheniere. We have a lot to cover this morning. I'd like to start by thanking the Cheniere professionals that make my job look so easy. As you will see from our results and guidance, it has been a challenging and rewarding quarter during an unimaginable year. This year continues to present us with surprising challenges, and we at Cheniere continue to rise to those challenges, maintain our focus, and execute. I'm extremely proud of the results we’re reporting today. You often hear me speak about the resiliency of our people, our assets, and our business model that has certainly been reinforced today as not only have we navigated the continued direct and indirect challenges of COVID-19 and a difficult global LNG market, but also the added challenges of two major hurricanes recently making landfall near Sabine Pass. While Sabine Pass suffered no significant damage from either Hurricane Laura or Hurricane Delta, many of our co-workers, friends, neighbors, and other members of the Cheniere family were impacted with lost or damaged homes. We are proud to have responded to those natural disasters quickly and impactfully in support of our employees with shelter and clothing in the communities where we live and work in Southwest Louisiana with $1 million donation, and a supply drive with the Astros where we delivered two semi-tractor trailers full of goods. We also managed volatility in the LNG market over the quarter. When the third quarter commenced, we're in a period of relatively high cargo cancellations and low facility utilization. By the time we exited the quarter, LNG market conditions had materially strengthened, which allowed us to ramp up production and capture additional margin. Throughout this year’s volatility, our visibility to achieving full year 2020 financial results within the guidance ranges remain virtually unchanged. Additionally, we've received an increasing number of questions from our shareholders regarding the global energy transition in the role of natural gas and LNG in a lower carbon future. Natural gas is an affordable, reliable, cleaner burning global fuel source, and we are confident in natural gas playing an increasingly important role in the global energy mix for many years as countries set carbon neutrality goals for the second half of this century. Cheniere delivers abundant cleaner burning natural gas from North America to the rest of the world. So, it can displace dirtier fuel sources like coal and oil, helping these countries achieve their environmental goals. We remain steadfast on allocating capital to the most attractive risk-adjusted opportunities for continued growth in our core liquefaction platform as we simultaneously seek to optimize our environmental footprint and support our customers and their downstream economies and achieving their long-term energy security and environmental goals. Please turn to Slide 5. This year with cargo cancellations, our quarterly results have been difficult for you all to predict. As a reminder, during the second quarter, our long-term customers utilized optionality in their contracts by canceling cargoes at both Sabine Pass and Corpus Christi. For cargoes canceled during 2Q, that would have been delivered to our customers in 3Q, the revenue related to those cargoes over $450 million was brought forward and recognized in 2Q since our obligations to deliver those cargoes were extinguished. During the third quarter of 2020, we only generated $477 million of consolidated adjusted EBITDA and distributable cash flow of over $190 million on revenues of approximately $1.5 billion. Net loss attributable to common stockholders for the third quarter was $463 million. Despite a challenging 2020, I am pleased to once again confirm our 2020 full-year guidance range of $3.8 billion to $4.1 billion in consolidated adjusted EBITDA and $1.0 billion to $1.3 billion in distributable cash flow. I'm also pleased to report that we are currently tracking to the midpoint of the EBITDA range and the high end of the DCF range as the market has improved, and we continue to execute and optimize. Looking ahead to 2021, we look forward to delivering growth in our financial metrics, driven primarily by the expected completion and commencement of operations of Train 3 at Corpus Christi early next year. I am pleased today to introduce full year 2021 guidance of $3.9 billion to $4.2 billion in consolidated adjusted EBITDA, and $1.2 billion to $1.5 billion in distributable cash flow. Construction progress continues to reinforce our legacy of best-in-class execution. [Indiscernible] progressing Corpus Christi Train 3 and Sabine Pass Train 6 on accelerated schedules well ahead of the guaranteed timelines and within budget. Corpus Christi Train 3 is about 97% complete, and the commissioning process is progressing very well with feed gas introduced into the train in October. We expect first LNG production from Train 3 in the coming weeks. [Indiscernible] now predict substantial completion in the first quarter of 2021. Sabine Pass Train 6 is approximately 71% complete. [Indiscernible] continues to project substantial completion in the second half of 2022, having recently accelerated that timeframe. Once again, during the third quarter, Zach and the finance team were very busy executing on our financial strategy. Year-to-date, we have raised over $8.5 billion from our banks and institutional capital providers in support of our long-term financial strategies and priorities. Zach will cover our third quarter capital raising activity, which was highlighted for the successful issuance of our inaugural bond for Cheniere Energy, later on this call. Now turn to Slide 6, where I’ll discuss our upwardly revised run rate production guidance and its strategic implications. Our efforts to maximize LNG production have yielded continuous improvement in our per train run rate production forecast, which helped drive the range of our run rate financial guidance. At our Analyst Day in 2017, we originally forecast run rate production of 4.3 million to 4.6 million tons per annum per train. Today, we're raising that level once again to 4.9 million to 5.1 million tons per annum as our operational expertise, our maintenance optimization, and our debottlenecking programs continue to produce incremental and reliable production from our existing infrastructure platform. From our initial guidance, these increases have added an aggregate of up to 7 million tons per year of additional marketable LNG or virtually an entire additional train. This incremental volume has strategic implications for Cheniere from a high level. It means we are less contracted on a run rate basis than we were before. And based on our disciplined approach to capital investment decisions, we have incremental volume to sell prior to sanctioning any new infrastructure. Make no mistake, Corpus Christi Stage 3 is shovel-ready and one of the most cost competitive LNG projects worldwide, but we are committed to capital discipline, and we'll only sanction that project when it meets or exceeds our financial capital investment parameters. Our most important metric is the level of contracted commercialization of our production. We've historically targeted a minimum of 80% of our production under contract, but as we continue to improve on our operation and maintenance management are more comfortable with increasing that contracted production target to up to 90%. Therefore, our commercial efforts are squarely focused on this incremental volume today. Meaning the timing of Stage 3 FID will be dependent upon firming up, not just Stage 3 but this virtual additional train worth of production, as well. As we enter into additional commitments across our platform, we will continue to deploy time and resources to ensure that Stage 3 remains as competitive and efficient as possible. This incremental production is already in our portfolio and available for our marketing and origination teams to contract on a short, medium or long-term basis. The fact that this production requires no meaningful additional capital, nor is it dependent on the sanctioning of new infrastructure gives us immense flexibility to tailor the structure of these agreements, to the needs of our customers. Now turn to Slide 7, on several of our recent quarterly calls, I've spent time highlighting our ESG efforts, including our company-wide focus on the challenges and opportunities, these important topics present, our climate and sustainability principles in our enhanced disclosures highlighted by the publication of our inaugural corporate responsibility report earlier this year. I view the growing importance of ESG in general and the emphasis on decarbonation specifically as significant tailwind to our business. As I said earlier, we're confident that natural gas and particularly LNG has a key role to play in the global transition to a lower carbon future, given its place at the intersection of reliably powering economic activity and providing a cleaner energy source worldwide. With that being said, I'd like to take the discussion one step further and give you a sense of how we are synthesizing this information and integrating it into our strategic priorities. At Cheniere, we are in a unique position to bring about change when considering the diverse group of partners across our entire business from upstream suppliers to our wide range of LNG customers and shipping providers. Individually and collectively, our reach and relationships provide us strong framework to enable the integration of climate solutions that will improve Cheniere’s footprint and help ensure our partners across the full value chain realize the full environmental benefits from our LNG. To carry out this integration, we are methodically reviewing our business to quantify our life cycling missions and to identify and analyze climate related opportunities across our value chain, with strategic goals of resiliency, transparency, avoidance, and reduction. I'd like to touch on a couple of these efforts briefly. First, we're analyzing our life cycle greenhouse gas emissions across Cheniere’s value chain and evaluating the areas where we have direct and indirect control. While we have achieved a one-third reduction in Scope 1 greenhouse gas emission intensities from 2016 to 2019. We continue to seek ways to further reduce the environmental footprint of our own operations, including assessing the economic and operational feasibility of CO2 management solutions at Sabine Pass and Corpus Christi. Outside of our facilities, we're looking both upstream and downstream at climate focused opportunities. These efforts involve collaborating with our partners throughout the value chain to identify and pursue actionable solutions. While our efforts are relatively early stage, we're encouraged by the mutual support for these pursuits, from our value chain partners. Along these lines, we're actively pursuing opportunities in each of the following areas, LNG shipping, gas procurement and transportation, renewable power procurement, digitization, operations and supply chain management. In addition, we continue to evaluate offering environmentally beneficial products and services at our facilities that compliment our core business and leverage our infrastructure position such as LNG bunkering services for the marine fuel market. Each of these initiatives has a potential to not only positively impact the environmental profile of Cheniere and our LNG, but also the industry at large, earning returns for our shareholders and solidifying LNG’s and Cheniere’s foothold in supporting growing energy demand worldwide through the century. And now I'll turn the call over to Anatol, who will provide an update on the LNG market.
Anatol Feygin: Thanks, Jack, and good morning, everyone. We hope that everyone is continuing to stay safe and healthy. Please turn to Slide 9. As usual, we'll start with a few comments about the current global environment, then discuss some of the more specific factors relating to the primary LNG markets. The LNG industry has faced some exceptional circumstances in 2020 and has responded with flexibility and resilience. These factors continued to unfold in the third quarter, reinforcing the message and validating the ability of our industry to respond to market conditions in an orderly systematic manner, thanks in large part to the flexibility of U.S. LNG. As we move through this challenging period in the market and look forward, we continue to be bullish about the way the market is rebalancing the strength of LNG demand recovery and the longer-term prospects for natural gas and LNG as key vectors in the global energy transition. Despite the impact of lockdowns in many markets in the second quarter, the industry has still delivered net positive demand growth totals year-to-date. Unlike most other commodities, LNG demand grew 3% year-to-date through September, adding more than 7 million tons of consumption versus last year. The U.S. was the main beneficiary of that growth as exports increased by 34% or 8.3 million tons to approximately 33 million tons year-to-date. Global LNG supplies were highest this year in the first quarter with production falling over the course of the summer to below year ago levels by Q3. LNG production levels decreased 6% or nearly 6 million tons during the third quarter of this year, as supply was curtailed across both U.S. and non-U.S. sources in response to decreasing spot prices as the market became increasingly concerned about exceeding natural gas storage capacity in Europe. The reduction in LNG supply from curtailments helped avert a storage crunch in late summer and position the market to start responding positively to the rebounding gas and LNG demand, we're now seeing in many countries as we head towards the winter season. Now let's look at those trends in more detail in the European and Asian markets. Turning to Slide 10, the global gas market was under pressure throughout the first half of 2020 as a result of a confluence of factors, two consecutive unseasonably warm winters in key LNG demand centers, the coronavirus impacts of course on economic activity and record high storage levels, which one combined led to historically low gas prices worldwide. Today, however, with our indications that point to stabilizing market conditions in terms of both supply and demand, and we're optimistic for continued recovery both in Europe and Asia. In Europe, lower volumes of Russian pipeline gas was the biggest factor helping the region rebalance during the third quarter as pipeline exports to Europe decreased by over 2 Bcf a day year-on-year. Upstream outages and maintenance elsewhere in Europe also cut indigenous production by 1 Bcf a day. In addition, U.S. LNG cargo cancellations from June onward added support to the market, and total LNG imports into Europe decreased 0.9 Bcf a day or 1.7 million tons year-on-year during the third quarter. Gas demand in Europe recovered to 2019 levels in the third quarter. In addition, for the first time, since January 2019, the Eurozone PMI climbed to expansion levels in July and has remained at expansion level since. Eurozone industrial production continues to gradually rise, providing a positive carryover for gas demand and gas-fired power generation across the major European markets has stayed firm despite the decrease in total generation of about 5% year-on-year in Q3. As a result of these factors, European gas prices have recovered from their lows earlier this year, incentivizing LNG customers to resume lifting cargoes from the U.S. Recovery indicators in Asia are also encouraging. LNG imports into the region increased 8.4% during the third quarter, and we're slightly higher year-on-year. Reduced nuclear generation in Japan and gas demand growth in India, Taiwan and China supported LNG use. Year-to-date, aggregate imports into India, Taiwan and China increased by over 8 million tons year-on-year, offsetting part of the decreases in South Korea and other nations. India briefly overtook South Korea in July and August as the world's third largest LNG importer. Lower spot LNG prices drove imports up 10% or 0.6 million tons year-on-year for the third quarter. Decreasing domestic gas production also supported imports and the recent markdown in regulated domestic gas prices could potentially further suppress indigenous production, which is down 10% year-to-date. LNG imports into Taiwan also increased by 9% or 0.4 million tons year-on-year due to summer cooling load. China's LNG demand increased by 13% or 2 million tons year-on-year in third quarter, while domestic production growth slowed and pipe imports continue to decline during the period. The economic recovery in China continued to accelerate with third quarter GDP expanding by about 5% year-on-year, following a 3.2% increase in Q2. Of note, and despite the stresses of the pandemic, policy priorities in China continue to favor broad based adoption of cleaner-burning fuels to displace coal. For example, China's Ministry of Ecology and Environment proposed to have more than 7 million households in North China switched from dispersed coal heating to cleaner-burning options by the end of October. Assuming half of the targeted households undergo coal to gas switching, it's estimated to generate up to 3.5 million tons of LNG equivalent of demand this winter. Finally, I'd like to turn to some longer-term observations. Please turn to Slide 11. As Jack mentioned, one of the most popular and pertinent topics we've been asked about recently is the global energy transition and the role of LNG engineering that transition. We firmly believe in natural gas and LNG as key sources of energy for decades to come, even at the most accelerated energy transition scenarios. The value of our business model and our infrastructure remains intact and provides a source of significant stable, highly visible long-term cash flows over the next almost two decades. And we see tailwinds for further growth, both within and well past that timeline. The chart on the right of that slide show several recent global LNG forecasts, including our own, highlighting a wide range of potential global LNG demand scenarios out to 2040. The variances between forecasts are largely driven by environmental policy assumptions. Clearly, there's significant expected LNG demand growth in almost all forecasts, including IEA’s sustainable development scenario. Most consultants predict well over 200 million tons of incremental LNG needed in the market by 2040. Even under the sustainable development scenario, the IEA projects that over 100 million tons of incremental LNG will be needed. We remain confident in our forecast, which is more bullish for LNG growth than the IEA scenarios as we continue to see enduring support for natural gas and LNG throughout multiple policy initiatives in countries and regions around the world that appreciate natural gas is a critical component in achieving environmental policy targets on carbon emissions. We have listed some of these initiatives in key gas and LNG markets in the matrix on the left of the slide for reference. China and India, for example, aim to increase the share of gas in our primary energy mix from 8% and 6%, respectively, to 15% by 2030. This can add over 14 Tcf of gas demand in only a decade in those two countries. Global players are following through on these commitments to environmental goals, supporting long-term increased use of natural gas and LNG in the form of major infrastructure projects. Currently, hundreds of billions of dollars are being invested across Europe and Asia in natural gas projects under construction. And if we include planned commitments, the total is well over a trillion. Some examples include India's commitment to invest over 60 billion to drive its gas-based economy, Europe’s commitment of well over 100 billion in gas-fired power, import terminals and pipelines, and China's hundreds of billions of dollars all along the natural gas value chain. We highlight regas capacity, which will not only expand existing import capacities in rapidly growing markets like China and India, but also add nine new import markets, raising the total to over 50 by 2024 from just 15 markets as recently as 2005. The world is facing multiple challenges in the transition to lower carbon future. These challenges vary from region to region, and we recognize that there is no universal solution today. Countries and economies are forced to reconcile economic growth and energy security, energy affordability, and energy intensity challenges while managing their carbon footprint. At Cheniere, we seek to support our customers in helping solve their long-term energy challenges with flexible solutions and providing them the opportunity to improve quality of life and to balance their economies and environmental targets. As a cleaner-burning fuel with far lower emissions than coal or liquid fuels in power generation, natural gas and LNG will play a positive role in ensuring reliable energy supply, balancing power grids, and contributing to a lower carbon energy system globally. And now, I'll hand the call over to Zach to review our financial results.
Zach Davis: Thanks, Anatol, and good morning, everyone. Also hope everyone is doing well. I'm pleased to be here today to review our third quarter financial results, discuss our 2021 increased run rate guidance, and provide an update on our capital markets initiatives and capital allocation priorities. Turning to Slide 13. For the third quarter, we generated a net loss of $463 million, consolidated adjusted EBITDA of $477 million and distributable cash flow of over $190 million. As Jack mentioned, our third quarter results were significantly impacted by the accelerated recognition of revenues in the second quarter, related to canceled cargoes that were scheduled to be delivered in the third quarter. As the global LNG market has begun to return to balance, the number of cancellations for fourth quarter cargoes has declined, meaning that the revenue acceleration that occur in the second quarter did not recur in the third quarter with fourth quarter results positioned to normalize. For the nine months ended September 30, we reported net income of $109 million, consolidated adjusted EBITDA of approximately $2.9 billion and distributable cash flow of over $1 billion. Through September 30, we exported 920 TBtu of LNG from our liquefaction projects, including the 193 TBtu of LNG or 55 cargos during the third quarter. Total volumes produced and exported in the third quarter were 30%, more than 80 TBtu, lower than exports in the second quarter of this year, as cargo cancellations continued into and peaked during the shoulder season in the third quarter. For the third quarter, we recognized an income 168 TBtu of LNG produced at our liquefaction projects and 31 TBtu of LNG sourced from third-parties. Approximately 74% of the LNG volumes recognized in income during the third quarter was sold under either long-term SBAs or IPM agreements, a proportion materially consistent with the second quarter. For the nine months ended September 30, we recognized an income 932 TBtu of LNG produced at our liquefaction projects and 79 TBtu of LNG sourced from third-parties. Approximately 77% of the year-to-date LNG volumes recognized an income was sold under either long-term SBAs or IPM agreements. As a reminder, during the second and third quarters, our results were materially impacted by the timing of revenue recognition related to cargo cancellations. In the second quarter, we recognized $458 million of revenues related to canceled cargoes that would have been delivered during the third quarter. During the third quarter, we recognized $47 million of revenues related to canceled cargoes that would have been delivered during fourth quarter. Excluding the impact of out-of-period cargo cancellations, our third quarter revenues of $1.46 billion would have been approximately $1.87 billion. The impact on consolidated adjusted EBITDA is similar to the impact on revenue. Income from operations for the third quarter was $72 million, a decrease of over $850 million compared to the second quarter, driven primarily by the accelerated recognition of revenues in the second quarter for canceled cargoes that would have been delivered in the third quarter; partially offset by decreased costs incurred in response to COVID-19 pandemic during the third quarter. Net loss attributable to common stockholders for the third quarter was $463 million or negative $1.84 per share, an increase of $650 million from the second quarter of 2020. This increased net loss was driven primarily by the decrease in income from operations, increased loss on modification or extinguishment of debt, primarily related to redeeming the remaining CCH Holdco II notes and a portion of our 2021 convertible notes, and increased loss in our equity method investments, partially offset by decreased income attributable to non-controlling interest, increased tax benefit, decreased interest expense, and decreased interest rate derivative loss. Before turning to guidance and capital allocation priorities, I'd like to briefly touch on key financing transactions during the third quarter. As we've discussed in our prior call, we redeemed the remaining outstanding CCH Holdco II convertible notes and a significant portion of our 2021 convertible notes in July using the Cheniere term loan, in a transaction which both address near-term and relatively high-cost maturities and prevented significant share dilution, reducing our run rate share count by over 40 million shares. In August, Corpus Christi Holdings or CCH received its third and final investment-grade rating, when Moody's upgraded CCH’s senior debt to a rating of Baa3. The upgrade from Moody's is one of the few, if not the only upgrade from high yield to investment grade in all of energy in 2020. And further reinforces the credit quality of our project level economics that are the foundation of this company. Following the upgrade, CCH opportunistically issued $769 million, a 3.52% senior secured notes due 2039 in a private placement transaction, securing the lowest yielding bond ever across the Cheniere complex. The proceeds from the issuance were used to prepay a portion of the CCH credit facility. In September, we refinanced a portion of the outstanding Cheniere Term Loan balance via issuance of an inaugural bond at CEI, which Jack highlighted a few minutes ago. This successful issuance was outsized to $2 billion and priced at 4.58% coupon reflecting the strength with which the debt capital markets use our business model and operational capability. Strategically, this was a very important transaction for us as it established CEI as a corporate issuer with a path to future unsecured issuances, a critical step in our long-term capital strategy. We remain committed to debt migration from our operating companies to our parent level companies to improve project level resiliency, reduce structural subordination at CEI and be secured the balance sheet over time, while also targeting investment grade ratings across the Cheniere complex. Also during the quarter, infrastructure funds managed by Blackstone and Brookfield purchased an over 40% stake in CQP from Blackstone Energy Partners, which had owned since 2012. Infrastructure funds at Blackstone and Brookfield are among the largest global long-term infrastructure investors and the investment made in CQP is a testament to the quality of our contracted LNG asset platform and to the long-term role of Cheniere and LNG in meeting growing energy demand worldwide. Turn now to Slide 14, driven by continued excellence in operations and execution and despite a myriad of challenges this year. We are again reconfirming our 2020 full year guidance of consolidated adjusted EBITDA of $3.8 billion to $4.1 billion and distributed cash flow of $1 billion to $1.3 billion. As we look forward to the remainder of 2020, we’ve hedged virtually all of our remaining expected production volumes and do not expect meaningful variability as a result of any moves in market pricing. Today, we are issuing 2021 consolidated adjusted EBITDA guidance of $3.9 billion to $4.2 billion, distributable cash flow guidance of $1.2 billion to $1.5 billion and CQP distribution guidance of $2.60 to $2.70 per unit. The largest variable in our projected financial results for 2021 is the timing of completion of Corpus Christi Train 3, and our guidance assumes a late first quarter completion of that train. While we have pre-sold approximately 90% of our total expected production capacity for next year, consistent with previous years, we currently forecast that a $1 change in market margin would impact EBITDA by approximately $200 million for full year 2021, with the variability disproportionately weighted to the upside and downside limited to approximately half of that amount given sub $1 margins on average across the calendar year in the market today. Today, we are also pleased to revise upward our run rate financial guidance driven by increased run rate production guidance as Jack described. Increasing the operating capacity of our existing infrastructure drives increased EBITDA and cash flow and increases our return on investment. As we have increased production guidance by over half an mtpa per train is essentially received an extra trains worth of production in our nine train platform. Today, we are raising our nine train run rate consolidated adjusted EBITDA guidance to $5.3 billion to $5.7 billion and distributable cash flow guidance to $2.6 billion to $3 billion. Our run rate financial guidance ranges assume production of 4.9 to 5.1 mtpa per train and marketing margins of $2 to $2.50 per MMBtu. We are also increasing our run rate distributable cash flow per share guidance to $10.25 to $11.75 per share, an increase of $2 or over 20% at the midpoint from our prior DCF per share guidance, driven both by increased run rate DCF expectations and a decrease in run rate shares outstanding by over $40 million as a result of the settlement of the CCH Holdco II and the 2021 Cheniere convertible notes in cash as opposed to equity. Please turn now to Slide 15. In addition to expected growth in both consolidated to adjusted EBITDA distributable cash flow next year, we also forecast 2021 to be an inflection point for free cash flow. And we expect to generate significant positive free cash flow for the first time in Cheniere’s history. As we continue the commissioning process in near completion of Corpus Christi Train 3, we expect a dramatic reduction in capital commitments and an increase in operational cash flow in 2021, leaving a significant amount of free cash flow, which will give us added flexibility on capital allocation. One of our primary long-term balance sheet priorities is achieving investment grade ratings at the Cheniere level by the early to mid-2020s, in order to solidify our long-term balance sheet provide stability to our run rate cash flow per share guidance. Due to the incremental debt we took on to address the convertible notes in the third quarter, our capital allocation priority over the short and medium-term will be debt pay down. Executing on that priority, we prepaid $100 million of the Cheniere Term Loan in the third quarter. And we expect to do the same during the fourth quarter. And we expect to pay down at least another $0.5 billion of debt during 2021, while still having additional free cash flow. As we forecast our cash flow generation profile and debt reduction plans through 2021. To fortify our current CEI ratings and remain on track for investment grade metrics in the coming years, we expect to be in a position in the second half of the year once Corpus Christi Train 3 is ramped up to resume capital returns via our existing buyback program by potentially initiating a dividend or both. We view a dividend at LNG as an eventuality as the long-term, highly contracted nature of our business model is ideally suited for it over time. We will evaluate timing and magnitude with our Board and in consideration of market conditions, our balance sheet and the stock price. We currently forecast the significant amount of available cash over the next five years, approximately $12 billion. And this amount is expected to provide us flexibility to reduce their consolidated debt and achieve investment grade ratings at the Cheniere level to return capital to shareholders via buybacks and/or dividends, and be in a position to invest in cash flow and credit accretive growth projects, such as Corpus Christi Stage 3 that meet our contractual and investment return parameters. That concludes our prepared remarks. Thank you for your time and your interest in Cheniere. Operator, we are ready to open the line for questions.
Operator: Thank you, sir. [Operator Instructions] All right. Our first question will come from Jeremy Tonet with JPMorgan.
Jeremy Tonet: Hi, good morning.
Jack Fusco: Hi Jeremy, how are you?
Jeremy Tonet: Good, good. Thank you. Just want to touch base, it seems like there’s some news out there with Cheniere possibly having new business with China, some agreements reached there. Just wondering if you could confirm if that’s the case and just is this indicative of the broader market kind of coming together a bit better for signing some types of term contracts at this point or any color you could provide there would be helpful.
Jack Fusco: Jeremy, I’ll start, and then I’ll turn it over to Anatol. First, thanks for the question. Look, we – I firmly believe Cheniere has the best Chinese origination office in Beijing of any of the LNG providers. I’m very pleased with my team. We – as you know, we were one and only to sign a long-term – the only to sign a long-term agreement with China early on in 2018, and our relationship there just continues to grow stronger and stronger. We’ve sent a significant amount of spot cargoes to China here recently. I’ll let Anatol address the…
Anatol Feygin: Thanks, Jack. Hi, Jeremy. Yes, as Jack said, it’s a market that we have been focused on almost as soon as we became an operating company with our Beijing office opening up in 2017. The team there has done a great job. It’s a sign of China’s progress, right, this GDP growth, gas demand growth over a Bcf a day of growth in total Chinese gas demand, and almost a Bcf of that came from LNG. Markets are opening up. China is very committed to meeting its 15% objective, type [ph] China was launched at the end of Q3. It is a mechanism to allow other companies to access the market, third-party access to LNG terminals and pipelines, and there’s a tremendous amount of gas demand growth. And we are very well-positioned to serve that. So very proud to be in a position to work with foreign energy, one of the fastest growing and up and coming second tier players, and we’ll endeavor to find multiple solutions to enable them to meet their downstream objectives of growing gas, maintaining their clean footprint, and finding creative solutions for their customers. So, I’m very proud of the team and hopefully a sign of things to come.
Jeremy Tonet: Got it, sounds really exciting there, and just wanted to pivot towards kind of some of Jak’s comments with regards to capital allocation, and it seems like based on your guidance, DCF could be up to $1.5 billion at the high end there, you talked about paying down $0.5 billion of debt, at least $1 billion of cash flow next year that you’re able to do a lot with, it seems like you could start kind of [indiscernible] dividends at that point in or at least in 2022 seems maybe somewhat earlier than I guess what was previously described. Just wondering if you could talk us through why not start the dividend at the back half next year. It seems like that could draw in a whole bunch of new investors having that income stream.
Jack Fusco: A few things there, but thanks, Jeremy. First off, we’re in ongoing discussions every quarter with the Board about capital allocation, whether it be debt paydown, share buybacks, or eventually a dividend, but when you look at what the share price is right now, and we’re talking about $11 DCF per share in a couple of years, the decision is still pretty easy that it’s going to be share buybacks. But in terms of your numbers, you’re right. We have around $1.2 billion to $1.5 billion of DCF next year, but keep in mind, we’ll still have a couple hundred million left at Corpus, and we have other – a few other debottlenecking and development costs that we’ll be spending on. So, it’s not all free cash flow. You have to strip that out first. But for the year, yes, we have around $1 billion of free cash flow next year for a company that really was just negative for 20 years previously.
Jeremy Tonet: That’s very helpful. Thank you.
Operator: All right. [Operator Instructions] Having said that we’ll move on to Michael Lapides with Goldman Sachs.
Michael Lapides: Hey guys, thanks for taking my question. It’s actually a little bit of an operational one. Just curious this is what the third or fourth time you’ve raised, you’re portraying guidance in terms of production capacity. Is there something that your team or Bechtel’s team is doing that’s enabling you to do this while we’re not seeing many of the other global LNG liquefaction owners announce similar increases? And do see potential for others to do that in the industry when you look around, in other words, could that add a lot more liquefaction supply to the industry without having – without others having to build more trains? Just trying to think through the dynamics for you guys specifically, but also the broader market.
Jack Fusco: Thank you, Michael. So, I’m going to address that directly. So first off, look, we have the best team of Cheniere professionals that, that exist. It is a – it’s a team that is very experienced from around the world not only with ConocoPhillips optimization, designs, but also ATI and a whole host of other things, and we have the benefit of having the full value chain, meaning the gas procurement side and our ability to deliver gas at varying pressures and heat content, which really influenced the performance of the trains. The team has done a fantastic job with what we call it debottlenecking, but also maintenance optimization and trying to extend the periods between defrost, extend our turbine, overhauls with Baker Hughes, and as well as hitting all the bottlenecks throughout the train. So, I feel very good that we continue to pluck what I call the low-hanging fruit. I think there’s more room for us to go. I don’t think we’re done yet, and what it gives us a ton of flexibility with our customers to design solutions for them without having to have CPC on additional infrastructure. I don’t want to comment on any of the other LNG facilities, because they’re all a little bit different from a technological perspective, but we feel very good about where we’re able to achieve.
Michael Lapides: Got it. Thank you, Jack. Much appreciate it.
Operator: All right. Moving on, next question will come from Christine Cho with Barclays.
Christine Cho: Good morning. Thanks for all the color today. I wanted to start off Jack with the comments that you made in the prepared remarks, about how you plan to increase from 80% to 90% of your capacity to contract, as you’ve increased the production capacity for train and you have a track record. Obviously the spending to expand that capacity is very capital efficient. So how should we think about the tolling fee that you would want to charge? I would think it doesn’t have to be as high as what you would have charged in a Corpus Phase 3. But is that a fair way to think about it?
Jack Fusco: Yes. Hi Christine, thank you. And first let me address the first part going from 80% to 90%, that’s still the – my comfort with raising our contracted amount, if you will, is with my comfort in my operating and maintenance staff at the facilities. Again, their performance has been fantastic this year. We've been thrown everything. Everything has been thrown at us and we've continued to perform and outperform, I think what everyone's expectations were. So as we get more and more comfortable with our stability of operations and our reliability, it allows us to fill more comfortable with terming out our production. So as far as the cost, there's – or the price of the fixed fee, there's a lot of different variables we can draw upon with that. And we can go out longer in term or shorter in term or if the quantity is bigger and longer than we may give them a little more of a discount for lack of a better word, but we have a lot of flexibility in what we're able to offer. And as we turn things up, you should expect those to flow into our guidance and be reflected in our numbers. Anatol, do you have anything to add on that?
Anatol Feygin: No, Jack. Just the flexibility that you hit on allows us to transition from what underpins the seven Trains, which was a very fixed construct of 20 year deals to, as you know, Christine, a lot of flexibility and a lot of creativity as we ensure that we generate the returns that we need, while finding a way to support our customers and creatively adjust to market conditions.
Christine Cho: Thanks for that. And then, I guess, just to follow on to that line of thinking, the run rate guidance has been the marking margins of 2 to 2.50. Just wanted to get a sense of how confident you are in these margins over the long-term. And is it primarily because you have a large portion of this already locked up at DMI or is it also the fact that over time – over the long-term, some of this capacity – excess capacity will be contracted up and will likely be at least 2 to 2.50, which gives you the confidence to put that range up today?
Jack Fusco: The short answer is, yes. Thanks, Christine. We see the, again, a growing market for LNG and we think that it is supplied in large part by U.S. projects, our project. They are cost competitive in that 2 to 2.50 range on a delivered basis. That's how we evaluate both ourselves and our global competition. And we think that as we move through this period of oversupply with four years of record volumes coming into the market, record growth for the LNG market that ensued, the period of Q2 and Q3 that we just went through the rate at which the market rebounded is fairly astonishing and absorbed and continued to invest in this future project that will drive medium to long-term growth, which we'll need to dispatch these $2 plus margin projects. So we were looking through the cycle between what we have in the books today, of course, as well as where we see the market playing out over the coming years and decades. We're very comfortable with this 2 to 2.50 range.
Anatol Feygin: I would just add Christine that it's not just the reality of the market, but it really just highlights how durable our EBITDA is. And then it's also just confirmation that we see the ability to hit all of the investment parameters for a project like Stage 3 in this range, signifying how cost competitive Stage 3 really is.
Christine Cho: Got it. Thank you, everyone.
Operator: And our next question will come from Michael Webber with Webber Research.
Webber Research: Hey, good morning guys. How are you?
Jack Fusco: Good, Michael. How are you?
Webber Research: Good. Wanted to start off with some the news that got announced today and maybe Anatol, you can have a just as getting a bit more specific around [indiscernible] in terms of that second or third tier of Chinese buyer, right, this is a company that I think they bought their first cargo back in May ever. And then I’ve got a small deal with BP. Having their associate with CNO, in terms of – just curious in terms of their emerges in the market. Is that a symptom of the reforms we saw last year around the Chinese natural gas pipeline network? And I'm just trying to think of it to what degree do you view this as a one-off versus that second or third tier of Chinese buyer kind of finally finding the support necessary to be more aggressive in the market? It's a really interesting counterparty to show up taking that much volume that quickly.
Anatol Feygin: Thanks, Michael. Yes. So ever since we started to engage in China in 2016, and then of course, expanded our presence with the Beijing office in 2017. We've been engaged in various discussions, including policy discussions to help China, drive this natural gas penetration in the market, contributed a chapter here and there to the pipe China discussions. And we think that this is a very important step that the policy makers have taken to of course, take a very large amount of infrastructure into a vehicle that is intended to provide third-party access, transparency, drive access to gas, all over the country. And foreign has division to be one of the early movers along that dimension and take advantage of this TPA, as you mentioned with some other contracts that, that BP deal, which proceeded RHOA but it's continuing to grow very aggressively. It isn't a great market in the South China for us to access and to continue to support. We do not see it as a one-off, we think that this is a cadre of companies that we've engaged with for years and looking towards continued success and continued traction there.
Jack Fusco: And Michael, I have to say that, one of the issues structurally in China is that the Citygate natural gas prices didn't fluctuate with actual gas prices. So when the spot prices dropped, China's demand didn't increase because the Citygate price was kept artificially high. Now you're going to see some of that flow through with some of these other players and pipe China, to where they can access lower – potentially lower prices and you'll see the demand response increase also. So we're extremely supportive of the reforms.
Webber Research: Yeah, that's a really exciting data point. And just as a follow-up maybe kind of vaguely along those lines and maybe different demand sync, earlier this quarter, there's a bunch of relatively fuzzy news flow around a French counterparty, potentially backing away from the only U.S. supposedly related to sourcing gas and especially frat gas. I'm just curious to what the greed is that come up with your customer base, and specifically as you guys work to commercialize for this phase three. Is that a one off or is that something you think you will be contending with to access the European markets for years to come?
Jack Fusco: Well, I'll take it a couple of different ways. As you know, a lot of our foundation customers are European. We have two very large French companies that are long-term foundation customers, both total and electricity to fonts and the focus on decarbonisation is here. It's here to stay. It hasn't come up with us yet, but we are anticipating it. We're moving forward with quantifying what we can do to make our product much more desirable in the event that need to as you know, from my talking points from manifests talking points, our initial focus is on identifying and pursuing actionable scientific near-term solutions that we can lower our carbon footprint. We do think the whole energy transition discussion is going to be a very long road and take a whole lot of everything to make work. But go ahead, Anatol.
Anatol Feygin: Thanks, Jack. Just to follow on Jack's comments, as you know, we view Europe as a very attractive and important market for the coming decade and beyond. Europe is investing tremendously in natural gas infrastructure projects in regas pipelines, reversing pipelines, power plants, et cetera, that are all driving natural gas demand. We continue to engage with companies with continue to engage in Brussels, as Jack said, one of our deliverables to that discussion, our transparent metrics are actual numbers that will form the discussion and continue to inform the discussion as opposed to some of the allegations that you've seen out there in the press. And we're delivering those concrete metrics and concrete improvements to that continued engagement with Brussels. There's no universal solution, as we said, we're not going to be everything to all people, but we are confident that we are a key part of the energy transition and part of this solution going forward. And you see examples of that engagement, those infrastructure additions, greater gas and LNG penetration into Europe to meet its strategic objectives of environmental benefits and security of supply.
Webber Research: Got you. Okay. Thanks for the time, guys. Appreciate it.
Operator: And moving on from UBS, the next question will come from Shneur Gershuni.
Shneur Gershuni: Hi, good morning, everyone, or afternoon, I guess at this point. I was wondering if we can go back to the discussion you had with Christine and some of the prepared marks that you had. If I understand sort of the discussion correctly, there's been a lack of FIDs of new capacity in 2019 and 2020. We're headed towards a tightening of capacity and rather a deficit in the market, in a year or two out. Is the concept nail that you want to lock up some of your CMI capacity on longer term arrangements five, seven, eight years type of thing. And that's kind of where, and move the target from 85% to 90%. And sort of create a more readable earnings base from where you're at. I just kind of want to understand strategically how you're thinking about it and how you’re approaching it.
Jack Fusco: Sure. So again, we're transitioning from a period in our corporate evolution where everything needed to meet the objective of supporting essentially project financing. And as we've talked about, we have this additional capacity. We have the success of the operations team. We've proved the construct of this integrated value chain. And now have the flexibility of altering these commercial solutions and coming up with products that serve our customer's needs. And those products include a midterm product, as well as the shorter term solutions that we've always had and the long-term. We think this market is a market it'll continue to evolve, it will continue to be cyclical. And all of those components short, medium and long-term will be part of the conversation in the LNG market for decades to come. So we're very happy to be in a position to offer that. And as you said, yes, secure margin and have that stability of cash flow, which we know is important to all of our investors.
Zach Davis: I was just going to say, putting in perspective, we're 38, 39 mtpa contracted and we originally thought this would be a 40 million ton portfolio and we've got 45 million tons. So we have some work to do to just contract that up, give everybody even more, certainty on those cash flows gives us a better sense of capital allocation at the same time. But then when it comes to Stage 3 and projects like that, yeah, we're going to be looking for the same creditworthy long-term contracts to justify another multi-billion dollar build-out.
Shneur Gershuni: I think that makes sense a midterm product that gets you over 90% would definitely make a lot of sense. Maybe pivoting a little bit to the government and do appreciate a lot of the color that was presented in the prepared remarks. Can you walk us through what takes you to the high-end of your guidance and conversely, what would take you to the low end of the guidance? Is it – we have COVID all over again and that's the low end and then everything else is about optionality. It's just wondering if you can talk about some of the inputs that get us to the top end versus low end.
Jack Fusco: Are you mean they made run rate or 2021?
Shneur Gershuni: 2021. 2021.
Jack Fusco: To make it simple, it's really on that open capacity that we were speaking to, but I'd like to give you just a better sense of the year ahead. So for 2021, we'll have eight Trains for the first time. And we're going to have record production of high-30s in terms of mtpa for the year. So last year, when we went into 2020, we had about 2 million tons open, which translated into around a 100 TBtu, in which is why we said a move of $1 was about a $100 million to EBITDA. But this year, we're adding that eighth Train and saying our long-term contracts and selling forward leaves us with around 200 TBtu or just less than 4 million tons currently open, which gets us to that 90% total contract for 2021. So that we were closer to 95% last year to 90% this year going into 2021, and just keep in mind that we've got a train coming online early next year. But I’d say we're actually pretty similar, if not in a better spot than last year, considering that asymmetric upside. So margins currently are in the sub $1 range, meaning downside in EBITDA is really capped at around $100 million, which makes it more insulated than last year. But we still have that upside for every dollar is $200 million. So we're in a pretty good spot and you can imagine we just did budget for the year and when we come up with a range, it's around budget in the midpoint.
Shneur Gershuni: Perfect. Got it. Really appreciate the color today and have a great weekend.
Jack Fusco: Thank you.
Operator: Our next question will come from Michael Blum with Wells Fargo.
Michael Blum: Great. good morning, everyone. Just had a one quick question. We're starting to see a second wave in COVID lockdowns and at Europe and possibly spread wider. Just want to get your thoughts on – do you see that – how you see that impacting LNG demand and basically, are we in for a bit of a rollercoaster here? Thanks.
Jack Fusco: Hey, Michael, this is Jack, I’ll start here also. I mean, this is – it's been an incredible year. We have put a lot of precautions into our besides and our plans around COVID with biometrics screening, with isolating the workforce, et cetera. And I know that the numbers at least here around Houston and Louisiana and Texas have increased, but we haven't seen any of the increase in cases ourselves with our workforce, which is it's little bit interesting, but we are definitely on guard, as far as our customers so far, as Anatol pointed out, the recovery, especially in Asia has been more v-shaped, it continues to be stronger every day, but Anatol, maybe you want to give more color on Europe or…
Anatol Feygin: With Asia, yes. So Asia is clearly recovering and Europe is learning how to navigate this issue. Natural gas as you know has been very resilient, even though overall power in the 28 main European markets is down about 5%, natural gas is stable, taking market share away from solid fuels, and this is a very flexible product. And one of the things that we are advantaged in is the ability to respond to these different market moves, whether that is an increase in demand in Asia and a moderation and demand in Europe. That said Europe is in an increasingly better position, we're not facing the issue of storage containment for two reasons. One is, we're finally at levels that have been worked off and are below year ago levels in terms of inventory. And two, obviously going into the winter is a different dynamic than going into the shoulder season of Q2 when we saw that maximum stress and look, we're now nine months into figuring out how to navigate this thing all over the world, and that's improving the outlook as well. So not taking our eye off the ball by any means, but we're endowed with a flexible responsive system that we and our customers know much better how to navigate.
Michael Blum: Great. Thank you so much.
Operator: The next question will come from Alex Kania who is with Wolfe Research.
Alex Kania: Thanks. I just had a couple, I guess, follow-up first is just on your thoughts on contracting. Is there any sense or greater demand for trying to have the contracts that are shaped more seasonally? And I'm wondering if that's something that you consider more seriously, how that would maybe line up with the kind of increased commitment on the report target for contracting overall in the portfolio. And the second one is just on kind of the run rate, production outlook. I mean, I did see a press release, I guess, from ConocoPhillips earlier this week about additional initiatives that really debottlenecked by the optimized cascade process. So just wondering if those kind of discussions were kind of incorporated in your outlook or is that – are those things represent maybe more incremental debottlenecking as well?
Anatol Feygin: Thanks Alex, this is Anatol. I'll start, then I'll hand it over to Jack on the second part. But we are – clearly the market globally has a forward structure that, says, winter is marginally more valuable than summer. Our efforts – our commercial efforts have grown leaps and bounds in terms of sophistication and you can look up the original SPAs and see that they make a fairly big deal, most of them make a fairly big deal about being ratable. We could now price things, and affect that solution much more flexibly and easily. And that is a discussion that we have from time-to-time with our customers. So we have no issues with that, and then on top of that, as you know, we have some seasonality in terms of our production capacity, when it's nice and cool in Louisiana, the ops guys have an easier time making more of it. So we evaluate all of these options and normalize them and factor that into our decision of how to move forward.
Jack Fusco: And, in regards to the Conoco, they've been a good partner with us, Ryan Lance is a good friend and they've supported us in our debottlenecking and optimization efforts, throughout this whole process. I think their announcement was on future COP trains, but having said that, every time we do better, the licensing fee goes up, so they're helping us as much as they possibly can.
Alex Kania: Thanks very much.
Operator: And moving on, we have Sean Morgan with Evercore.
Sean Morgan: Hey guys. So a question just on the SPAs that are rolling off, I think there's pretty material SPAs that are sort of legacy and from older markets and older plants than Cheniere’s even boldest trains, and so a lot of bonds rolling off through 2025. And I'm wondering, how Cheniere sort of position to compete with these new volumes coming on? And do you see there being a lot more tendering in the market, or do you think that like existing SPAs with long-term tenants are going to be replaced by similar existing SPAs with long-term timer tenors?
Anatol Feygin: Thanks, Sean. Yes, so the markets continued to grow dramatically over the past decades, conveniently doubled every decade. And historically when this was a very bespoke sort of point-to-point market, the contractual solutions were fairly standard at that 20 year mark. And as you said, there was a very large amount of volume that reprices, if you will, over the coming years and decades. And that is one of the sources of opportunity for us to take advantage of that. The solutions that the customers will want will vary, there will be a portfolio approach we believe and lots of customers will want the flexible transparent pricing, stable pricing that our long-term contracts offer, others will choose to recontract mid-term, and that's something that we can help with as well as load following if you will, that we can provide at the margin. So, it is another very large opportunity as that volume reprices out of the legacy projects out of North Africa, Qatar, et cetera.
Jack Fusco: And I would say that the customers are demanding more energy diversity, so they don't want to buy from one supplier necessarily. They want to buy from multiple suppliers and ensure a reliable product. They're also looking at diversity from a – how much do they want oil index versus Henry hub index. And so, I think we'll get our fair share of some of those contracts. And we just continue to try to work on our operational excellence and make sure that they consider us to be an affordable, reliable supplier of LNG.
Sean Morgan: Okay. Thanks. And then we touched briefly on ESG, but I had a question sort of, as it relates to the cost of implementing. We went through the slide and there is a lot of, kind of, I guess, sort of cursory ideas of ways to make it lower carbon, more ESG friendly. And I think Mike touched on that the Europe has – the European governments are getting kind of more activist in sort of choosing contracts. But how do you look at it sort of balancing your European customers might be a little bit more environmentally sensitive to other customers that are going to be a lot more economically sensitive like India or China.
Jack Fusco: Yes, and that's exactly what we're doing right now is when we say we're – our initial focus is on identifying and pursuing we're stacking them up. So we know directly and indirectly what the carbon footprint looks like for a cargo of LNG at least from a calculated basis, not an actual basis, which is one of the solutions we'd like to get resolved. But we are quickly identifying, prioritizing and stacking them up on which ones we make economic sense and which we're going to have to put on the back burner for a while until the market wants to pay us for those types of solutions.
Sean Morgan: Okay. Thanks Jack. Thanks, Anatol.
Operator: All right folks. Moving on our final question is going to come from Ben Nolan with Stifel.
Ben Nolan: All right, I made it. So I got a couple, the first, congrats on the run rate, I think that's fantastic and certainly it's a good track record here. I was thinking maybe or if you could expand on this, and you were clear on sort of debt repayment from a capital allocation perspective. But obviously, it seems like higher run rate is probably most impactful for CQP and potential for them to – or that vehicle to really ramp up its distributions even more than probably it could have otherwise done. Can you maybe talk through where that might be in terms of a priority going forward?
Jack Fusco: Sure. So we’ve really slowly and steadily increased the CQP distribution over the last few years because we're still in construction. So you'll see us – we just have increased it by $0.02 annualized, and we'll continue to do that until we finished Train 6. So you could see what range we gave for this coming year and it's about the same type of step up as it was this previous year. And that's really related to just holding back the cash to make sure we can fund the remaining, let's say $900 million or so of unlevered CapEx for Train 6. But clearly on the run rate, it did go up. But if you look at the numbers, it didn't go up all that much, but it is almost at $4 at this point. And the reason for that is because we have an IDR structure. So at this point, since we're in the high split, 50% of every incremental dollar actually goes to CEI. So eventually in terms of distributed cash flow, when we get to $3 billion at CEI, a little over half of that is actually distributions going to us from not just the LP units, but from those IDRs.
Ben Nolan: Right. And I appreciate that, although again, that's probably – and it's structurally an incentive to actually increase the distribution. The – switching gears to my follow-on a little bit today or just yesterday, EOG made a huge discovery out in South West Texas. Obviously you guys have already done some of the IPM stuff with them. There is been a lot of slowing down there, and I can imagine that maybe those discussions are not as robust as they used to be, but that's a really big discovery. Could you maybe talk through, – we talk a lot about the Chinese or Europeans or others looking to buy. Could you maybe talk about sort of where maybe producers are and whether or not you think that, there could be a return to some of those pushed volumes?
Anatol Feygin: Thanks, Ben. Yes, this is Anatol. We've always said that we're optimistic on the IPM business and see a number of opportunities there, but it is not a huge sample sets. EOG is a wonderful partner, obviously that IPM transaction started this year, it's been a challenging year for all producers. And as you can imagine, discussions while ongoing are not top of mind, like they were a year or year and a half ago. But we firmly see that the growth of North American production needs to be exported. And we provide the single largest access points to those markets. So we're optimistic that engagement will become more robust as we move forward. And certainly EOG’s contribution will be front and center as well as a handful of other large credit worthy counterparties that have positions that are proximal to our facilities.
Ben Nolan: Okay. That's helpful. Thanks guys.
Anatol Feygin: Thanks, Ben.
Jack Fusco: And thank you everybody, thanks for your support of Cheniere.
Operator: Ladies and gentlemen, that does conclude our question-and-answer session and our call for today. We do appreciate you joining us. You may now disconnect.